Operator: Good day, and welcome to Essex Property Trust, Inc. Fourth Quarter 2024 earnings call. As a reminder, today's conference call is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risks and uncertainties. Forward-looking statements are made based on current expectations, assumptions, and beliefs, as well as information available to the company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found in the company's filings with the SEC. It's now my pleasure to introduce your host, Angela Kleiman, President and Chief Executive Officer for Essex Property Trust, Inc. Thank you, Ms. Kleiman. You may begin.
Angela Kleiman: Good morning. Thank you for joining Essex Property Trust, Inc.'s Fourth Quarter earnings call. Barb Pak will follow with prepared remarks, and Rylan Burns is here for Q&A. Before we begin, on behalf of the entire company, I want to express our condolences to those affected by the tragic wildfires in Los Angeles. While our properties did not incur any loss, my gratitude goes to the Essex team for proactively helping those displaced as we adopted several policies to ease the transition into new housing within our Los Angeles portfolio. As for our earnings call today, I will cover our full year and Fourth Quarter 2024 results followed by our outlook for 2025, and an update on the investment market. We are pleased to achieve same-property revenue growth of 3.3% and core FFO growth of 3.8%, both exceeding the high end of our original guidance. Our strong performance was the result of improving demand, including return to office and migration patterns, combined with attractive affordability and delinquency resolution by our hardworking associates. With this backdrop, we experienced a typical seasonal rent curve for the first time in several years. Additionally, we successfully shifted the company into growth mode, acquiring and consolidating thirteen properties at above-market yields. As for operation highlights, Fourth Quarter results were generally consistent with expectations. We achieved 1.6% blended lease rate growth, and concessions averaged one week for the same-store portfolio in the Fourth Quarter. On a more granular perspective, Orange County and Santa Clara County led the portfolio with 2.7% blended rate growth, while LA and Alameda counties lagged with 20 basis points of blended rate growth. In January, demand picked up in line with our operating plan, lifting occupancy by 40 basis points to 96.3%, and concessions improved to less than half a week on average. Turning to our 2025 outlook, detailed on page F16, consensus GDP and job growth is forecasted to moderate for the US overall but remain at a healthy level. The West Coast is well-positioned with improving economic fundamentals as job growth is forecasted to outperform the US after lagging in 2024. Job growth in the technology sector is the key driver of this outlook as we anticipate job postings to convert into new hires in 2025, resulting in better overall growth. Steady demand combined with a low level of supply deliveries at only 50 basis points of total housing stock and attractive affordability relative to home ownership leads to our base case forecast of 3% market rent growth. Seattle and San Jose are projected to lead the portfolio at approximately 4%. As far as the range of outcomes, the low end of our guidance is mainly attributed to policy uncertainty and timing of delinquency recovery. Our optimism for the high end of our guidance is supported by solid fundamentals and based on past precedent that tech job postings still have a runway to grow for this phase of the innovation cycle. It is notable that recent office expansion announcements demonstrate the intention that the majority of new hiring will be focused in headquarter locations, which favors the West Coast economy, particularly the northern regions. Over the long term, we see a path for the West Coast apartment markets to continue to outperform the US average with better job growth and wealth creation driven by centers of innovation combined with limited levels of supply growth. Lastly, on the investment market, in 2024, the West Coast experienced a meaningful uptick in volume, reaching a level close to the pre-COVID average. Although interest rates increased in the Fourth Quarter, there remains a deep pool of capital eager to acquire properties on the West Coast, and cap rates in the Fourth Quarter for high-quality properties remain consistent at around the mid to high 4% range. In 2024, Essex was opportunistic in its acquisition efforts, successfully generating significant accretion by consolidating joint ventures and acquiring several communities in close proximity to our property collections where we can enhance the yield on day one by operating these communities more efficiently. In 2025, we expect to be net acquirers again while optimizing our cost of capital. Our focus remains on being creative and opportunistic to drive FFO and NAV per share growth for our shareholders. With that, I'll turn the call over to Barb.
Barb Pak: Thanks, Angela. Today, I will discuss our Fourth Quarter results, key assumptions to our 2025 guidance, followed by comments on the balance sheet. We are pleased with our Fourth Quarter results, which were slightly ahead of our expectations, primarily driven by higher income from our joint venture entities. As it relates to same-property operations, we saw a continued reduction in delinquency during the quarter, which improved to 60 basis points of scheduled rent on a cash basis. For the year, we've made substantial progress on the delinquency front, reducing our bad debt by over 50% from one year ago. As such, we are pleased to be in a position to fully eliminate the remaining accounts receivable balance during the quarter, which resulted in same-property revenue growth of 2%. Without this non-cash adjustment, revenue growth would have been 3.2% for the quarter. Turning to our 2025 outlook, same-property revenues are forecasted to grow by 3% at the midpoint. The key drivers of this growth are outlined on page S6. Continuing on with Angela's comments, stable economic conditions, low supply, and expectations for increased hiring among key West Coast industries lead to our forecast for blended rent growth of 3%. In terms of the cadence, we expect blended rent growth in the first half to be below the full-year midpoint and improve in the second half of the year as hiring accelerates and translates into increased demand for housing. Our guidance assumes a 50 basis points improvement in delinquency as we continue to make progress returning to that long-term run rate. Rounding out the remaining components, we anticipate a 30 basis points combined contribution from higher occupancy and other income. Moving to operating expenses, we forecast 3.75% same-property expense growth at the midpoint, a significant improvement from what we've experienced the past two years. The biggest factor driving this outcome is lower insurance expense. We renewed our property insurance in December and saw a small reduction in our premium as compared to the prior year. Regarding controllable expenses, we are forecasting growth of less than 3% as we continue to seek ways to enhance our operating efficiency. Putting it all together, same-property NOI growth is expected to increase 2.7% at the midpoint. As for core FFO, our midpoint of $15.81 equates to 1.3% year-over-year growth. The modest increase is driven by two factors, which combined represent around 2% headwinds to growth. The first relates to higher interest expense, primarily driven by the recent $500 million in unsecured bonds. Our guidance assumes we refinance this debt in the first half of the year, and given the current interest rate environment, the all-in rate is expected to be meaningfully higher than the 3.5% rate on the maturing bonds. The second factor is lower structured finance income as a result of redemptions in 2024. Our guidance assumes $150 million in redemptions at the midpoint, of which approximately 50% is expected to occur by midyear. As previously communicated, we expect to reinvest the proceeds into new acquisitions, which will offset a portion of this income and result in better NAV and core FFO growth for our shareholders over the long term. In total, the structured finance book is expected to represent around 4% of our core FFO in 2025, consistent with our target range of 3% to 5%. Turning to investments, the midpoint of our guidance assumes we acquire $1 billion in new apartment communities. As for funding, it will be dependent on market conditions and our cost of capital, utilizing the most attractive equity capital source available at the time and executed on a leverage-neutral basis consistent with our track record of disciplined capital allocation. Concluding with the balance sheet, the balance sheet and credit metrics remain strong, and with over $1 billion in liquidity and ample sources of available capital, the company is well-positioned. I will now turn the call back to the operator for questions.
Operator: Thank you. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. And for participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question is from Nick Joseph with Scotiabank. Please proceed.
Nick Joseph: Thanks. Hi, Angela. I believe you said that the low end of guidance assumes some sort of potential regulatory impact, and I'm assuming that's in LA. I just want to be clear on that. And also, if you could provide what is the same-store revenue growth range that is assumed in guidance for LA specifically.
Angela Kleiman: Hey, Nick. Good morning, and thanks for your question. Yes, legislation is an unknown factor at this point. It's a little too early to predict the outcome. And so as it relates to our guidance, we didn't factor that component into our guidance, but that's why we have a range. So a downside is contemplated if something gets enacted that's more extreme in nature. What we are aware of is currently there is an eviction moratorium being considered in LA, and a rent freeze proposal. And as far as the eviction moratorium is concerned, what we are hoping for is a more sensible approach, unlike what was enacted during COVID, and that the legislatures understand that eviction moratoriums are punitive only to housing providers and that they hurt policy for LA because it deters investments in LA and housing production in an area that already has an extreme shortage in housing. Because we all know that the best path to affordable housing is to produce more homes. And so that conversation is ongoing, and we are working closely with our organization to get better visibility on that at some point. As far as the rent freeze is concerned, Governor Newsom declared a state of emergency related to the fires that triggers the existing California law to limit rent increases to 10% above pre-emergency levels. And since there's already an anti-gouging law in place, which we also support, we're hoping that nothing more extreme will be passed. And so once again, that's the reason for the downside scenario, and that's what is related to the impact to the lower end of the range.
Nick Joseph: Okay. Thanks. That's helpful. Is it possible to get just a specific number for LA in terms of what's assumed for the same-store revenue growth this year?
Barb Pak: Hi, Nick. It's Barb. So for LA, we have assumed that it will improve from where we are in 2024. As you can see in our supplemental, we were at 2.3%. LA was very challenged in 2024 with low occupancy and negative rent growth. And we think that occupancy improves to a stabilized level of 96% and that rent growth is modest at about 2%. So that's what's baked in. No impact from the wildfires has been forecasted in our numbers. It was just we had assumed the market starts to recover from some of the eviction noise that occurred in 2024.
Nick Joseph: Okay. Appreciate it. Thanks.
Operator: Our next question is from Eric Wolfe with Citibank. Please proceed.
Eric Wolfe: Hey. Thanks. As part of your guidance, you gave an expectation for 3.5% renewal rate growth through this year. I'm just trying to understand why it wouldn't be a bit higher given the low turnover you've been seeing. And I think you did about 4% last year with market rent growth. I'm just trying to understand how you came up with the estimate and why it would be lower than last year.
Angela Kleiman: Hey, Eric. It's Angela here. It's a good question. And our approach generally has been to essentially be market appropriate with our renewal rates. And what that means is over time, you would expect the renewal rates and market rents to converge. Now it could be lumpy year over year depending on lease terms, the concessionary environment, and timing of the renewal cycle, which is why you saw we experienced a 4% renewal in 2024, even though the market rent growth was quite a bit lower. But net-net is that our focus has been and will continue to be on maximizing revenues rather than individual rates. And these renewal rates can be lumpy from year to year.
Eric Wolfe: Got it. And then you mentioned that you expect the second half to be better from a blended spread perspective. I don't know if you want to give sort of what you expect for the first half and second half. Sort of what gives you that conviction that you'll see that increased hiring trends? Obviously, you can look at the listings, but just curious what gives you the confidence that you'll see that incremental demand in the back half of the year.
Angela Kleiman: Yeah. It's really a function of two factors. It's both demand and supply. And so as far as the cadence, we're anticipating that the first half to be in the high twos, so say around 2.75%, and the second half to be above the midpoint, you know, and below 3%, say about 3.3%, around there. And from a supply perspective, I think that's more straightforward, so I'll cover that first. We are anticipating that the first half delivery to be heavier. So when we look at our supply cadence, about 60% or so of the supply is coming in the first half. So that, of course, will impact our pricing power. And as far as the job growth, we assume that to happen in the second half because what we're seeing is the job postings that have been gradually increasing and have been steady. It takes time to actually hire. And we're also seeing that especially in the Bay Area, a meaningful number of tech companies have taken on office expansion. And just from the leases signed, if you just take the actual square footage, that would imply somewhere around 5,000 new headcounts. Well, that's not all gonna happen at the same time, and certainly, it's not possible for it to all happen, you know, or the most of it to happen in the first quarter because once again, it takes time to recruit and interview and put people in place. And so that is why we're assuming the second half, and of course, our conviction is coming from the leading indicators such as job openings and, of course, the office leasing activities.
Eric Wolfe: Alright. Thank you.
Operator: Our next question is from Austin Wurschmidt with KeyBanc Capital Markets. Please proceed.
Austin Wurschmidt: Yeah. Great. Thank you. Barb, Angela, I know you mentioned the one-half blends will be lower than the second half for the reasons you just cited. But I guess digging into that 2.5% new lease rate growth assumed at the midpoint of same-store revenue growth guidance, I guess, should we expect kind of another year of a gradual ramp into the peak leasing season and then kind of the shoulder periods being a little softer? And also curious in your market rent growth assumption, if any, or how much benefit there is from kind of, you know, I guess, a more normal year where you don't have long-term, you know, as many long-term delinquent units coming back to market. Just wondering if there's any kind of concession burn-off benefit in that number. Thanks.
Angela Kleiman: Hey, Austin. No. That's a good question. We do expect the leasing curve to continue to normalize. So in 2024, it's the first time in several years we saw a normal leasing year. And so what we're expecting in 2025 is that it will continue. We haven't really seen anything else in the economy that would provide a meaningful disruption to that. And as far as, you know, our market rent is concerned, what happened last year is if you look at our actual market rent, it was slightly lower than our forecast. But that's really driven by LA and Alameda delinquency that created a lot of noise. And so once you factor that in, you know, we are assuming that that's now behind us, and the market rent curve is much more steady.
Austin Wurschmidt: That's helpful. And then just touching on the bridge from the Fourth Quarter result to the First Quarter guidance, you know, after you remove kind of the four-cent noncash charge, you know, in the Fourth Quarter you did $3.96 of core FFO in the 1Q, you know, guidance assumes that that dips. Yet you do have some reacceleration in the blended rate growth. You cited January occupancy pickup versus where you were in the Fourth Quarter. So I guess, you know, what's kind of driving that sequential decrease in core FFO? I'm just wondering if there are any items to highlight there. Thank you.
Barb Pak: Yeah. So there's really two factors. It's really timing on OpEx, so sequentially between the Fourth Quarter and the First Quarter, we're seeing a little bit more in OpEx spend. And then the other big driver is just higher interest expense as we have a higher line balance and various other assumptions in the guidance. So that's really the two key drivers on the sequential change in core FFO.
Operator: Our next question is from Steve Sakwa with Evercore ISI. Please proceed.
Steve Sakwa: Yeah. Thanks. I guess I just wanted to come back to that kind of blended number and really more of the spread between new and renewal. I guess many of your peers just have a much wider, I guess, delta between the new and the renewal. And I'm just wondering if there's something going on this year as it relates to the comps, and, you know, whether some of these renewals are turning into new leases or lack of renewals and there's more pricing power there, I just was a little surprised at the narrowness between those two.
Angela Kleiman: Hey, Steve. It's Angela here. A good question because I think what is causing the variation from one company to another is really more related to the operating strategy. And, you know, for us, what we have been focusing on is bringing our renewal rates as close to market as possible. And, you know, we're sending these ahead of time, and there's some negotiating, so it's not gonna be exact. And because ultimately, if we price our renewals appropriately and run an optimal occupancy, then the new lease rates will benefit. And so, ultimately, that all relates to how we can maximize revenues. And so what that means is, you know, for Essex, the renewal and new lease spread will really, that range or the spread is really subject to market conditions. And in an environment where market rent growth is accelerating, that spread would be much wider. But in an environment where there's been prolonged moderate growth, that spread is going to be narrower. And, of course, there's other factors like concessions and timing of leases signed which, you know, makes it, I understand, hard for all of us to pinpoint exactly what the spread would be, but that's how we're running the company is probably driving the spread difference.
Steve Sakwa: Okay. Thanks. And then just a follow-up. Again, other income for you guys is only growing ten basis points. I know for some of your peers that are doing more of this connectivity in the WiFi, that number is more like fifty, sixty, seventy basis points. So is there something kind of holding you guys back on that other income? Are you doing something differently? Or have you maybe not taken the same steps that they have to kind of roll this out and that's coming for you? We're just trying to understand that ten basis points.
Barb Pak: Yeah. Hi, Steve. So this is Barb. So, you know, there's a couple of factors that are at play here. So in 2024, we had some outsized what we would consider outsized lease cancellation fees, and we talked about that on our last call. And that, we think, moderates in 2025 to kind of a more normalized level. So that's muting growth a little bit on the other income side. And then the second factor is the full benefit in 2024. In 2023, we rolled out some initiatives and we got some benefit from that. And right now, we're piloting a few things. We're not sure we're gonna roll them out. We need time to vet to make sure it's really gonna pay off. And if we roll them out, it likely will benefit 2026. And so we're kind of in that piloting phase right now on a few different initiatives. So that's what's leading to that ten basis point growth this year.
Steve Sakwa: Great. Thank you.
Operator: Our next question is from Jeff Spector with Bank of America. Please proceed.
Jeff Spector: Great. Thank you. First question, Angela. In your opening remarks, you mentioned the company is in growth mode. I know you've been talking about that the past year, but really, can you just dive into that a little bit more, the impetus and in terms of acquisitions, you mentioned cap rates are in the mid to high fours again. How do you plan to acquire as I guess, again, if you could just talk about that as well as maybe IRR expectations. Thank you.
Angela Kleiman: Hey, Jeff. No. Good question. On the, you know, I'll just cover some high-level strategy and then turn it over to Rylan. As far as generating accretion, of course, in an environment where our stock price isn't as attractive, you've seen us do so in other ways. We can sell assets, obviously, that, you know, offsets the growth. But the growth of the company. But in terms of the growth of the portfolio, it actually will benefit that. And it would generate accretion. Because if you see what we've done is we acquired pretty heavily in 2024 in the northern region where we were expecting and have seen outperformance relative to the rest of the portfolio. At the same time, we sold a $250 million 1970-built property at an attractive value. So ultimately, you'll continue to see us transact in a way that is going to be accretive and as you're aware, we have multiple funding sources in addition to dispositions. We, of course, have some cash on hand from operations and joint venture opportunities. Rylan, you want to talk about returns and other stuff.
Rylan Burns: Yeah. Hi, Jeff. This is Rylan here. You know, I think market to high fours for well-located high-quality properties. I think, you know, the marginal buyer today is underwriting around an 8% unlevered IRR expectation, and we are obviously trying to do better than that.
Jeff Spector: Thank you. And then my follow-up is you mentioned that there was a pickup in January. Can you talk about that in a historical context? Was it a normal pickup that you see in January? Was it stronger than normal, weaker than normal?
Angela Kleiman: Oh, yes. Yes. This is consistent with our expectations. And so it's typical. You know, the occupancy pickup in January was all in Northern California. Which, you know, was what we had expected. Because that strength is finally starting. And when we look at just generally from a new lease rates, it also gradually improved as well. And so on all fronts, generally, it is playing out exactly as what we have planned.
Jeff Spector: Thank you.
Operator: Our next question is from Jamie Feldman with Wells Fargo. Please proceed.
Jamie Feldman: Great. Thanks for taking the question. So your portfolio tilts more heavily suburban, which has performed better since COVID given some of the challenges we've seen in urban submarkets. We're wondering if you expect the same theme of suburban outperforming urban in 2025, and maybe to put a finer point on can you talk through your views on rent growth in your urban versus suburban portfolios?
Angela Kleiman: Hi, Jamie. That's a quick question and a thoughtful one. As far as our portfolio allocation is concerned, we have favored the suburban location for a specific reason. Yes. From time to time, you know, a particular area might outperform for a short term, but our suburban portfolio is where all the major companies are located. So unlike, you know, the East Coast or even the Midwest, you have Apple in Cupertino. Google is in Mountain View. And Facebook in Menlo Park. And so, you know, these major hubs are not in the downtowns, and so that is a key reason why we have, you know, favored, you know, the suburban locations. But in addition to that, the downtowns are more challenging in terms of the quality of their lives. There's the homeless issue that still needs to be addressed. And, you know, I think crime is hopefully getting better. And so I do think that, yes, the urban centers should rebound, but we do not expect for those areas to outperform the suburban because they just have not done so over the long term.
Jamie Feldman: So can you quantify, I know you've talked a lot about, you know, your rent growth in the first half versus the second half. I mean, how would you compare your urban rent growth versus your suburban in your 2025 outlook?
Angela Kleiman: Oh, I don't have that final of a detail in front of me. We are expecting the suburban to continue to outperform the urban, but it's gonna vary differently. So, for example, downtown LA is gonna be very different than downtown San Francisco because downtown LA has more supply. And so I don't have that exact spread.
Jamie Feldman: Okay. And then maybe for my follow-up, I even think you had commented you've seen some office leasing in the Bay Area. Some expected rent growth in the Bay Area, but, you know, we've seen a major hiccup to the AI industry with DeepSeek. I'm just curious, you know, did you guys change your outlook at all for demand on that? Seems like the AI business will be in cost-cutting mode. Just, you know, how did that impact your outlook? How are you guys baking that into your expectations for a pickup in the back half of the year?
Angela Kleiman: Yeah. We don't expect DeepSeek to materially impact the business. And now, first of all, you know, when we look at all the leases that have been signed, it's not dominated by AI. It's, you know, companies like Snowflake that's a data company. We have some fintech. We have some software companies. So it's pretty well diverse. But that said, as far as DeepSeek is concerned, we do think that ultimately more competition will spur more innovation and investments in this sector. And DeepSeek, you know, there's a disconnect between what they provide and what the end users need. And you still need these companies to come in and create products and tools on top of it for the end users. And so that business will remain robust as far as what we can see.
Jamie Feldman: Okay. Thanks for your thoughts.
Operator: Our next question is from Brad Heffern with RBC Capital Markets. Please proceed.
Brad Heffern: Yes. Thanks. Good morning, everyone. Obviously, a lot of political uncertainty right now, but can you talk about how you're thinking about the potential impact of shifts in immigration policy? And it would also be great if you could talk about how much of your demand comes from H-1B visas. Thanks.
Angela Kleiman: Hi. Yes. Immigration question is an interesting one because it can change from hour to hour from what we can see. But as far as the immigration part of it, fortunately, that's been pretty steady. In terms of how the administration has communicated their stance. Their focus has been on illegal immigration. And so we don't expect that will have a meaningful impact on our portfolio. Especially since we have a chronic shortage of housing at a level greater than the national average. And anecdotally, I think we've all heard of comments such as we want the best and the brightest. And so from what we gather, the administration is actually pro H-1B visa. And wants to provide a path for foreign college students to stay in the country. As far as our business is concerned in the past, we do have a small portion of tenants from H-1B visas. They tend to be more transient and they tend to double up more. And so once again, when they exited early on during the Obama administration, we didn't see any impact on our portfolio.
Brad Heffern: Okay. Got it. Thanks for that. And then maybe for Barb, I'm looking at the 2025 core FFO walk on S16.2. You have a larger growth contribution from the non-same property NOI than you do from same property. Can you just go through that? I think potentially maybe the non-same property is being offset some by the interest bar, but just wondering why it's so large. Thanks.
Barb Pak: Yeah. The key takeaway there is the acquisitions that we did this year, and that's they, you know, we consolidated several JV properties and then we bought out others. So it's really that. It's the contribution. It's the big component of it. So there's a lot of movement within the financials from consolidated to or unconsolidated to consolidated. And that's what's driving that.
Brad Heffern: Okay. Thank you. And I'm happy to go offline with you on more details if you need anything else.
Operator: Our next question is from Adam Kramer with Morgan Stanley. Please proceed.
Adam Kramer: Great. Thanks, guys. Just wanted to ask about it. And I think, Angela, you mentioned a pickup in January. Although maybe not so much in the LA region. And I guess just wondering first, you know, obviously, given these unfortunate wildfires and obviously thoughts with everyone there, you know, maybe just if there's been any kind of contribution to the portfolio, be it on the rate side or maybe more likely in the occupancy side in January. It seems like, again, based on your earlier comments, that's not been the case, but just wondering there.
Angela Kleiman: Yeah. Hey, Adam. We have not seen any increase in lead volume. It's not from the fires. I mean, we've seen inquiries, but the actual activities have not translated. It's really because what we heard was that these fire victims, they're waiting for clarity from the insurance providers before making housing decisions. So it's going to take a lot more time to work that through the system before it has any impact. And, you know, secondarily, in terms of the tenants that may be looking for new housing, the impact was mostly on single-family homes, and they're going to need larger units, multiple bedrooms, and so once again, I just don't see that as a huge impact in the near term.
Adam Kramer: Got it. No. That's helpful, Angela. And then just wanted to ask about kind of the same-store expense growth guide, maybe just taking the midpoint of it. If you can maybe just walk through the key drivers, their taxes, utilities, you know, operating expenses, just the kind of contribution to that overall expense growth guide.
Barb Pak: Yeah. This is Barb. So as I mentioned in my prepared comments, insurance is kind of the biggest driver of our reduction in same-store expense growth this year from 4.9% to 3.75%. Insurance, we expect to be down 2% based on our December renewal. That's a big reduction from what we saw last year. And then as it relates to real estate taxes, we do think that they're up a little bit from where they were in 2024. Even Seattle is a wild card. We do think Seattle may come in high again in the double-digit range this year. And then utility, there's also been the wildcard. We have seen outsized pressure there. And above inflationary increases, we think it still is elevated in terms of increases in 2024, maybe a little bit more moderate than what we saw in 2025 versus 2024. But, overall, real estate taxes, utilities, I've learned to about the same number next year in total. So core the non-controllable piece will be up about 4.5%, we think. And then the controllable piece will be up just under 3%. It's how we kind of get to our 3.75% blended number.
Adam Kramer: Great. Thank you, Barb.
Operator: Our next question is from Alexander Goldfarb with Piper Sandler. Please proceed.
Alexander Goldfarb: Hey. Good morning out there, and Rylan, congrats on selling a 76-year-old asset at a pretty surprising price. So well done. Just, Angela, want to follow-up on Jamie Feldman's question. On the urban markets and suburban. You know, the big narrative, and you guys have talked about it, that tech is trying to make a push to come back, return to office, and, you know, people, you know, the tech job openings and people coming back to San Francisco, Seattle. But you also made a comment about the urban areas still dealing with crime, homeless, and yet we hear positive things out of the changing political, you know, landscape with as a result of elections in both markets. So, you know, when you cut through it, how do we interpret a rebound of those two markets versus the comments that there's still, you know, work to be done? Obviously, I know stuff takes a while, but are the positive changes being implemented, like, is that real-time or that's the hope, but right now it's not much really has changed on the ground as far as quality of life, and that's why you still prefer, you know, the suburbs versus the urban.
Angela Kleiman: Hey, Alex. Great question. It's really two things. One is that when it comes to talk and public policy, I think that's heading in the right direction, and we are hopeful that they can get there. But, you know, I think we've all experienced this, especially you went through this in New York. Once you have a political plan, then you have to set policy. And you have to find funding, and you have to implement it. And these things just, it just, it's not even a short term. It's a multiyear program. And so that's one of the reasons why, you know, our view is we are hopeful, but we believe it's going to take some time. As far as the rebound in jobs, and the, you know, and the expansion that's taking place by these tech companies, I'll share with you what we've seen. The leasing activities have all been in the suburbs. Snowflake is in Menlo Park. Robinhood is in Menlo Park. XAI and, you know, we have a couple of small companies that are in South San Francisco, which is great. But, you know, another AI company is in Mountain View. I mean, it's predominantly in the suburbs. Maybe one or two small companies in, you know, in close to the CBD, not San Francisco, but close to it. And so, and that's pretty consistent with historical patterns.
Alexander Goldfarb: Okay. And then the second question is, just on the regulatory front. There's also, you know, the governor's actions with CEQA and the Coastal Commission, which I imagine both of those entities are very protective of their powers. As part of this larger conversation about rebuilding LA and accelerating the process, is there any discussion about, you know, dialing back the ultimate powers that both these entities have to improve construction, or is the view that this is a one-time alleviation of those rigorous, you know, sort of permission slips, if you will, and that once LA has rebuilt, those entities go back in full force.
Angela Kleiman: Well, Alex, I wish I had a crystal ball. I think, you know, what we're seeing right now is there's an interest and also the need to focus on a massive rebuilding effort that needs to take place. Having said that, how to go about it is complicated. As you mentioned, there are multiple agencies in play here, and I think, you know, what I think is people want to do the right thing, but everyone has their own process. And so I think it's gonna take a little bit more time to play out. As far as the approval process and the rebuilding process, you know, what we can hope for is that the legislatures are going to try to be more efficient. But keep in mind, you know, LA is a very large and densely populated area, and the economy is huge. And while these, you know, they're home lost, the jobs remain intact, and it's still in the LA area. The county is the largest county in the US with close to a trillion in GDP. And so we are optimistic that LA will figure itself out. And that, you know, they will benefit from the catalyst of growth with infrastructures and investments coming for the World Cup and Olympics and film industry tax credit. By the way, it's, you know, the Fourth Quarter is the first time we saw jobs in the film industry improve for the first time in several years. So these things do give us hope about LA.
Alexander Goldfarb: Thank you.
Operator: Our next question is from Haendel St. Juste with Mizuho Securities. Please proceed. Please check and see if your line is muted.
Haendel St. Juste: Hey. Good there. So I guess the, yes. I'm here. So I guess my first question is on the development starts. Here. It first starts in about five, six years. Can you expand a bit more about the opportunity set you're seeing here in development, the markets you've a bit more focused on, and how we should be thinking about, you know, how you're thinking about yields, IRRs, and potentially, you know, appetite for where you might want to grow the development book to.
Rylan Burns: Hey, Haendel. Rylan here. So as you mentioned, we haven't started the development over five years because the risk-reward really just didn't make sense as you're all aware. It is very challenging to develop on the West Coast. And what we're trying to do at a high level, we're seeking with our limited capital to highest risk-adjusted returns. So we feel like we have an opportunity today. This is in a location adjacent to Oyster Point, one of the largest biotech hubs in the world. Land at a very low basis. Our costs are down in the high single digits from 2022. And the rents have started to show some momentum in 2024. So we are looking for at least a 20% spread to where we think we can buy, and we think we have that today on untrended rents. This project is projected to achieve a mid to high 5% cap rate, and that's with fully negotiated GMP and a healthy contingency buffer. And we think this project will stabilize in the high 6% range.
Haendel St. Juste: That's helpful. Appreciate that color. I want to follow back up on a comment I think you made about concessions. You mentioned seeing some decline there recently, but I don't think your 2025 guide reflects any improvement in concessions this year versus last year. So maybe you can give us a sense of where concessions in the portfolio are today and whether it's fair to think this could be a source of upside with the demand improvement you're seeing in Seattle and San Francisco, where markets, I think, you've had a bit more concessions of late.
Angela Kleiman: Yeah. Hey, Haendel. That's a good question on concessions. Today, the portfolio is sitting at less than half a week, and that's an improvement from December of a little over a week. But having said that, normally, you know, you would see concessions tick up if we have supply deliveries in the slow season, like December, and which we did. We saw in San Jose and, of course, Seattle. And fortunately, San Jose, it's a smaller market in terms of the number of deliveries, and so it quickly abated. Seattle, the supply delivery is comparable to last year. And so we don't expect a meaningful change in terms of the concession environment. And in fact, some of the supply actually is moving to the east side where we have the bulk of our portfolio. And so even though I think Northern California will be better, there's an offset with Seattle. At the end of the day. So net-net, our concessionary position from year to year is going to be about the same.
Operator: Our next question is from John Kim with BMO Capital Markets. Please proceed.
John Kim: Good morning. So your cash delinquency improved sequentially, but it looks like your gross delinquency went up. I'm not sure if the reported and gross is the same number. But I was wondering if you can comment on that. And then when you talk about the 50 basis point improvement for the year, does that include the impact of the accounting change?
Barb Pak: Hi, John. Yeah. As far as the reported this quarter does factor in the noncash charge for eliminating the accounts receivable balance. So that impacted the numbers this quarter, and it did show a slightly higher number than what we have been reporting. Cash, on the other hand, did improve from Q3 to Q4. So we're seeing that consistent pattern that we've talked about over the last couple of years. And then as it relates to the impact of 2025, we have assumed a 50 basis points impact to our guidance for delinquency, of which 20 basis points is related to the accounting charge in Q4, and we expect 30 basis points improvement on a cash basis. So for cash for 2025, we expect delinquency to be around 60 basis points, which is where we were in the Fourth Quarter.
John Kim: And remind us where it was pre-COVID.
Barb Pak: Pre-COVID, it was around 40 basis points. So we do expect for 2025 that the first half will be slightly above the 60, and then by the back half of the year, we'll be at that 40 basis points level. So back to pre-COVID levels.
John Kim: And, Barb, on the debt maturities that you have this year, can you update us on where you could raise ten-year unsecured notes today and what's incorporated in your guidance for the year?
Barb Pak: Yeah. So in terms of where the ten-year unsecured bond market is for us today, we're in the mid-fives. And unsecured debt is slightly cheaper than secured debt agencies that four or five-year papers around the mid-fives as well. So, you know, we do like the ten-year unsecured bond market. But when we go to look to refinance our debt, we'll look at all options to see what's the most attractive at that point. In terms of what's in our guidance, there's a variety of assumptions in terms of timing and rates in the numbers. So I'm not gonna go into that specifically. But where we are today is kind of consistent with where we were most of last year. We're kind of bouncing around the mid-five range for most of last year as well.
John Kim: Great. Thank you.
Operator: Our next question is from Wes Golladay with Baird. Please proceed.
Wes Golladay: Hey. Good morning, everyone. I just had a quick question on the structured finance book. I think you said you have about $150 million redeeming this year. Do you have the timing of that? And then on a multiyear look, it looks like it has about 1.6 years of term for the just under $500 million of investments. Will most of that mature next year?
Barb Pak: Yeah. This is Barb. That's a good question. So in terms of the timing of the $150 million redemptions, we do expect about 50% to be by midyear. So most of that's in the second quarter. And then one maturity later in the year in 2025. And then in terms of that timing is obviously subject to some movement as a couple of our redemptions in 2025 are early. So sponsors are looking to term us out as, you know, getting permanent financing is cheaper than their construction loan. So some of those that timing does move around a little bit or could move on us. That's our best guess based on talking to our sponsors. And then in terms of the maturities, yeah, there is the short duration. A couple of them are maturing in the next year, but do have some extension options. So it may or may not get redeemed. It depends on market conditions.
Wes Golladay: Okay. And then do you expect to invest more? I think you mentioned you wanted 3% to 5% of the business to be in the structured finance. Will you replenish this or just timing may not be right now?
Barb Pak: I think it depends on the opportunities. Right? So if we see a good opportunity that's appropriate on a risk-adjusted basis, we'll look at it. We haven't seen a lot of those. There is a lot of money raised for this product type, and so it's become very competitive. And so we focus more on buying hard assets. We think that's actually better long term for shareholders. So but it will be dependent on market conditions and what we see in terms of opportunities out there.
Wes Golladay: Okay. Thanks for the time.
Operator: Our next question is from Rich Anderson with Wedbush Securities. Please proceed.
Rich Anderson: Hey. Good morning out there, guys. I'm just piecing together, I guess, a couple of comments made related to the broader transaction market. So Rylan, I think you said, you know, for high-quality products, you know, cap rates in your markets are maybe in the mid-fours. And if I heard correctly, agency financing perhaps in the mid-fives. So I just want to make sure that I guess that implies negative leverage going in. And maybe outsized growth, you know, as you kind of, you know, push the model forward. So is that pretty consistent with what you guys are seeing in the marketplace and just, you know, maybe a little more color on the transaction market in general.
Rylan Burns: Hey, Rich. Yeah. That's a fair question, and I think your assessment's correct. I think a lot of buyers, they are assuming negative leverage in year one and trying to solve for how quickly they can get out of it. You know, as it relates to the transaction market at a high level, there was around $16 billion of transactions in California and Washington, our product type in 2024 compared to $7 billion in 2023 and 2021 and two high water marks in the low 20s. So there was a lot more volume traded last year. It feels relatively healthy. There's a very competitive bidding process. Again for the product that I mentioned that we are targeting. So it feels healthy and it feels the bidder pool is deep. And we just came from NMHC where there was a similar message. There's a lot of capital out there looking to deploy and, you know, people are, I think, growing more increasingly optimistic about the West Coast. So that is the challenge for us in 2025 is to figure out how we can accretively grow despite, you know, the competitive market.
Rich Anderson: That's very helpful. Thanks, Rylan. And then maybe just a quick follow-up on the insurance side of things. I know you said you, Angela, you said you renewed the policy in December, and so, you know, maybe in relation to the timing of the wildfires, you know, happening after that. But also before most, I think, other companies renew their insurance policies, Essex is in a little bit different spot there. So, you know, if you guys could maybe forecast out how you feel like the next round of negotiations and pricing might go later in 2025, on the other hand, you know, Equity Residential yesterday said they did not anticipate too much of an incremental impact to the way insurance gets priced based on the wildfires alone. So just, you know, help us understand how that might play out, as we think about even 2026 at this point.
Barb Pak: Yeah. Hi, Rich. It's Barb. So you are correct. We did renew our property insurance in December. So we're locked in for eleven months of 2025. So really, no risk on our insurance renewal to this year. It's way too early for us to see what the outcome will be. And, you know, we had no damage from the fire, so we're not actively in discussions with our insurance carrier on any claims or anything like that. So we'll just have to see how it plays out as the year goes on. One thing I will note is over the last two years, our insurance is up 50%. So we have, you know, we have seen a steep increase unlike in, you know, the residential home market where it was more limited. So that's the only comment I would make on that. Otherwise, I would say we'll know more as we enter the fall of this year.
Rich Anderson: Very helpful. Thanks, Barb.
Operator: Our next question is from Julien Blouin with Goldman Sachs. Please proceed.
Julien Blouin: Yeah. Thank you. You sort of touched on this a little bit earlier, but sort of Angela, you commented that Seattle and San Jose are projected to lead the portfolio to approximately 4% market rent growth this year. Those were also the markets where you would sort of previously warned about the supply pockets. I guess as you looked at the Fourth Quarter and so far what you're seeing in the First Quarter, how is sort of rent growth compared to your expectations? I guess what is sort of giving you confidence that those markets will sort of hold up this year?
Angela Kleiman: Hey, Julien. On the supply landscape, as far as San Jose is concerned, what we experienced in the Fourth Quarter was that there was an uptick in terms of the supply delivery, which, of course, put pressure on rents for about two months. And then the supply got absorbed, and we are back to a normalized environment. And so what we expect is that to occur, but the difference with the northern region is that we see a stronger demand relative to the southern region. And that, of course, is going to provide, you know, pricing power in an environment where there's low supply. So even though you have supply delivery, it's gonna cause some interim disruption, but it's not permanent. And similarly with Seattle, what we're seeing is the supply delivery, the level is similar to 2024. And what we're expecting is that the cadence to occur in the first half of the year, which is much better than the second half, because when, you know, supply delivery comes during a period of strong demand, that absorption happens quickly, and the disruption is really minimized. It's when they come in December or November, then it lingers on and takes more concessions and takes longer to work through it. But all in all, net-net is that the economy and the fundamentals are quite healthy, and therefore, we expect, you know, these supply deliveries to be absorbed similar to a typical pace, and so there may be interim lumpiness from month to month. But overall, we are well set up for the year.
Julien Blouin: Got it. Thank you. That's helpful. And following up on John's question on bad debt, so the 50 bips of same-store benefit in 2025 excluding the noncash charge, it doesn't seem like you're sort of baking in much improvement from where you ended the year. I guess just wondering if absent eviction moratoriums, if we could see some improvement in the LA Alameda delinquency levels, which still sit above 100 basis points right now.
Barb Pak: Yeah. This is Barb. I think that's where we need to see the continued improvement. It's taken us the longest to improve LA Alameda. We've made a lot of progress in 2024, but we still need to make further progress to get us back to our long-term run rate. And so that's why we're not making as much progress in 2025 relative to prior years because we've made the vast majority of it already. So we think it'll be incremental, but we've had most of the tailwind already in the prior year.
Julien Blouin: Got it. Thank you.
Operator: Our next question is from Michael Goldsmith with UBS. Please proceed.
Michael Goldsmith: Good morning. Thanks for taking my question. We've seen pretty good improvement in operating conditions over the last year with return to office, low supply, available affordability for apartments, turnovers, low. Yet we're still forecasting, you know, blended growth of 3% at the midpoint. This growth is off of relatively muted 2024. And this 3% growth is generally in line with kind of the long term, yet the conditions seem pretty favorable. So over the next few years, like, are we thinking about growth rates continuing to expand at really or is this kind of, like, as good as it gets given the favorable environment? Thanks.
Angela Kleiman: Hi. Yeah. No. That's a good question. We do see that the fundamentals will continue to build strength. And one of the reasons why it's more gradual and improvement this year is that the overall economy is moderating from 2024, and that's by consensus forecast. And so we can't disconnect from that too much. Now we do expect the West Coast to outperform, given all the fundamentals that, you know, we talked about earlier. And that is we expect that to build and to be gradual. So for example, you know, October was the first time that we saw job openings from the top 20 tech companies to reach pre-COVID average. And since then, it has remained steady. That's fantastic. But that's three months. And so you will want that to continue to build and gain momentum, and we are seeing that. So it's going to be more gradual for this year, and we'll see what happens in the following years.
Michael Goldsmith: That's helpful context. And just a quick clarification, are you assuming a normal seasonal curve of blended growth in the first half of this year?
Angela Kleiman: Yeah. Our budget does assume a normal seasonal curve for the entire year.
Michael Goldsmith: Okay. Thank you very much.
Operator: Our next question is from Rich Anderson with Wedbush Securities. Please proceed.
Rich Anderson: Thanks for hanging with me. So on the kind of the pie chart of the company, in terms of its geographic footprint, I wonder if you'd be leaning more into northern regions in light of some of the regulatory things that they've brought up in this call in LA and, you know, with President Musk, I guess, running point in driving tech potentially. I wonder if we could start to see your aggressive, you know, more offense on external growth, leaning more into northern areas and selling out of Southern California.
Angela Kleiman: Hey, Rich. Glad you hang with us as well. On our investment activities, you actually saw that our activities in 2024. And it was heavily focused in the northern region and the Bay Area. And we, you know, that dominated our focus because really of the supply and demand and affordability drivers. It was the most favorable. You know, lowest supply relative to all the other regions, and, of course, with all the centers of innovation and technology companies expanding and growing and the Bay Area. Yeah. In recovery in the midst of recovery. So Southern California is growing rent by 20%, 30% since COVID, and Bay Area is still in the low single digits as an average. So it has the most upside potential, and you throw in affordability metrics, boy, it gets really compelling. And so our focus will continue to be, you know, in the northern regions really for the reasons that it has the most upside. If nothing else, just from the recovery. As far as the legislation, we've been dealing with legislation our entire lives. And so, you know, that in itself would not be a reason to significantly pivot from one region to another. And so when we're talking divestitures, which is, you know, you're asking us if we're gonna just sell out of LA, for example, we've approached it more property-specific rather than a particular city. We like all our markets. They have all generated above US average long-term returns. And so it's gonna be driven by asset-specific reasons. So for example, when we sold, you know, the $250 million asset in the Bay Area that Rylan talked about earlier, it was at an attractive valuation, and it was super, super old. So super duper. Hopefully, that helps.
Rich Anderson: Like, technical terms, super duper. The other, the second question for me is, on structured finance. It was said earlier today that redeploying the proceeds from the redemption would be NAV accretive. And you kind of said this, the shorter-term nature of structured finance is FFO accretive, but relative to fee simple ownership not as accretive to NAV. You mentioned also that you're targeting 4% of your business in structured finance for 2025, the selling point being if low. So if that's the case, then why doesn't that trend lower? Why don't you sort of step out of this business longer term? Or is there some reason why a rounding error amount of it in the portfolio matters to you, you and the firm? Thanks.
Angela Kleiman: Hey. Well, let me just provide you with a little context. You know, we got into this business at a time where construction costs were growing in double digits. And rents were nowhere near. And so preferred equity business provided a very attractive risk-adjusted yield and complemented our development pipeline because we had respectively stopped developing during those times. And that was really the primary thesis for being in that business. So it's not that we don't like the business. It's that over time, it's grown in such a way that, you know, it's lumpy. It's not as predictable. And it made sense to right-size that platform. But we still like the business, and having a small percentage of that also gives us additional visibility into the activities of the local developers as well and keeps us connected that way. So overall, it's still a decent business. But, you know, in terms of fee simple, I mean, I just, you know, went through the compelling fundamentals on the Northern California region. And so, you know, owning fee simple and having that durable growth to our NAV per share is really the key focus for us at this cycle.
Rich Anderson: Okay. Great. Thanks very much for that color. Appreciate it.
Operator: Our next question is from Teo Okusanya with Deutsche Bank. Please proceed.
Teo Okusanya: Yes. Thanks for hanging in there. Just a very quick one. Barb, again, the AR noncash charge-off, can you talk exactly about why you decided at this point to charge it off? Is it purely an accounting thing where it needs 90 days or more? Or is there some particular reason why you kind of thought that AR was not going to be collectible going forward?
Barb Pak: Yeah. No. That's a good question. Let me just step back and give you kind of our history. So pre-COVID, Essex always had a cash policy. So if the rent wasn't collected in that month, we reserved against it and had no uncollectible revenue on our books. When COVID hit and we had unprecedented delinquency, in 2020, we accrued a small amount of revenues that we had yet to collect because we knew we would collect revenue over time. And that, you know, is not uncommon in the industry. I mean, most of our peers actually have some on their books. And over the last few years, we've slowly taken that accounts receivable balance down. And given where we are in 2024, given the improvements we've seen and, you know, we feel like this is all behind us, and we felt it was prudent to take the charge and just write off the remainder. And, you know, get back to our historical accounting policy of cash basis accounting on revenues. And, you know, that was always the goal to get back there. And, you know, four years later, we're finally there. So we're pleased with it. We're happy to be back there. There's no risk to the financials in terms of we've booked any revenues that we haven't collected. And so we feel good about our conservative accounting policy on that front.
Teo Okusanya: Thank you.
Operator: Our final question is from Alex Kim with Zelman and Associates. Please proceed.
Alex Kim: Hey. Morning out there. Thanks for taking my question. I wanted to ask about your assumptions for renewals and market rents to converge. Is there any timeline that you're assuming for this spread to tighten? And then I guess, just with supply easing on a year-over-year basis in your markets, is there any risk, you know, into mid to late 2025 even in 2026 that this spread actually widens once again?
Angela Kleiman: Hi. No. That's a good question. It's tough to predict on timing just because it does relate to market conditions. So for example, if we see a much stronger demand than expected, we're actually, we get better market rents. What that means is that spread would then widen, you know, the renewal and new lease spreads, which is a great thing. Because that means we have, you know, more upside on our renewals. But as far as it relates to our base case, we are very confident in what we can achieve given the supply is knowable. And with this supply landscape, you don't need a lot of job growth to achieve our numbers. And so, you know, our view is that we are in good shape on that point.
Alex Kim: Got it. Thanks for the color. That's all for me.
Operator: And that is all the time we have for today. This will conclude today's conference. Essex Property Trust, Inc. would like to thank you for joining them for their Fourth Quarter earnings call. Thank you again for your participation. You may now disconnect.
Angela Kleiman: Goodbye.